Operator: Ladies and gentlemen, thank you for standing by. Welcome to Bayer's investor and analyst conference call on the full year and fourth quarter 2020 results. [Operator Instructions] I would now like to turn the conference over to Mr. Oliver Maier, Head of Investor Relations of Bayer AG. Please go ahead.
O. Maier: Great. Thank you so much, Haley. Good afternoon, and thanks, everybody, for joining us today. I'd like to welcome all of you for our full year 2020 conference call. With me on the call today are Werner Baumann, our CEO; and Wolfgang Nickl, our CFO. And as always, the businesses are represented by the responsible Management Board members. So we have Stefan Oelrich for Pharma. We have Liam Condon for Crop Science. And we have Heiko Schipper for Consumer Health. Werner will begin today's call with an overview of the key developments, performance of the divisions and the strategic outlook, while Wolfgang will then cover the financials for the full year as well as the outlook for 2021 before we open up for the Q&A session. As always, I would like to start out the call today by drawing your attention to the cautionary language that is included in our safe harbor statement in -- as well as in all the materials that we've distributed today. And with that, Werner, I hand it over to you.
Werner Baumann: All right. Thanks, Oliver, and good afternoon, ladies and gentlemen. It's my pleasure to also welcome you to our conference call today. So first, let me start by saying that last year was really unprecedented in many regards. A once in a century pandemic continues to affect our businesses, employees and the lives of our families. We really stepped up as a company, reliable partner and also good corporate citizen. And I'm very proud of the incredible engagement and the contributions of our 100,000 people around the world in helping wherever we could. That's what we stand for, as does our vision: Health for All and Hunger for None. True to that vision, we recently also entered into a partnership with CureVac for the development and production of the vaccine candidate to help fighting the pandemic as fast as possible. Second, our businesses have proven to be robust and resilient despite headwinds from the pandemic, regulatory challenges and the negative currency effects. In Pharmaceuticals, COVID-19 restrictions led to a reduced number of elective treatments, especially in our ophthalmology, women's health and radiology businesses. Stricter hygiene and protection measures also weighed on the demand for our cough and cold products in Consumer Health. On the other hand, our Nutritionals business benefited from the increased focus on prevention and self-care. Furthermore, the massive devaluation of major currencies like the Brazilian real had a negative impact, particularly on our Crop Science businesses. To mitigate softer growth and currency headwinds overall, we focused on factors within our control by accelerating our efficiency programs and implementing tight cost management measures. The third, to set the stage for future growth, we have successfully matured our late-stage pharma pipeline with Nubeqa Verquvo, the brand name for vericiguat and finerenone. We also intensified the external sourcing of innovative assets and acquired businesses in the cell and gene therapy space, in women's health and in personalized nutrition. We also concluded our announced portfolio measures with the sale of our Animal Health business, and we reset the asset base in our Crop Science business with the necessary noncash impairment charges at the end of September. At that time, we also said that we would look at further divestments of businesses below the divisional level. To that end, we yesterday announced the plan to divest of our Environmental Sciences professional activities, and we'll continue to evaluate other divestiture options. Let me also provide you with a brief update on our litigations. In early February, we announced and filed an updated agreement with the plaintiff's counsel on a plan intended to manage and resolve future Roundup cases. The new agreement is now subject to court review and approval. We also continued to negotiate with plaintiff's counsel to reach agreements on the remainder of the current cases. Approximately 90,000 claims in the Roundup litigation overall are covered by settlement agreements that have been executed or in the process, or did not meet the requirements for eligibility and they're disqualified. I'd also take the opportunity to welcome Sarena Lin to the team. Sarena was appointed to the Board of Management on February 1 as our Chief Transformation and Talent Officer. And she will play a pivotal role in driving the transformation of the company. Finally, we will share our strategy updates for the group and our divisions as well as our midterm targets at our upcoming Virtual Capital Markets Day on March 10 and 11. So a lot has been accomplished, and I'm particularly pleased to say that we achieved our updated guidance based on currency rates as of month-end September despite further currency deterioration in the remainder of the year. The right column shows the as-reported full year figures with solid checkmarks across the board. Sales grew by 1% on a currency and portfolio adjusted basis and came in at EUR 41.4 billion. Our adjusted EBITDA margin for the group increased by 140 basis points to 27.7% and core EPS was stable at EUR 6.39. Our free cash flow amounted to EUR 1.3 billion, impacted by settlement payouts. It actually came in above our adjusted guidance, supported by strong operational cash generation, which also contributed to reducing our net financial debt to EUR 30 billion. We propose a dividend payment of EUR 2 per share for fiscal 2020, which is subject to approval by the AGM. The payout ratio of approximately 31% is within the target corridor of 30% to 40% of our core EPS. Let me now turn to the performance of our businesses, and starting with Crop Science. Our currency and portfolio adjusted sales were up by 1%, driven by a strong performance in Latin America and Asia Pacific, which both grew 9% and compensated for a decline in North America of 4%. The decline in North America was mainly due to demand shifts in corn, increased competitive pressures in soybean and the temporary loss of the XtendiMax registration. Following the new EPA registration in late October for our XtendiMax herbicide, we have now received all necessary state registrations. On a global basis, corn sales were close to flat, with growth in all other regions nearly offsetting the declines in North America. Similarly, very strong sales growth in Intacta in Latin America exceeded the declines in soybeans in North America, which led to slight growth overall on a global basis. Our Fungicide platform continued a strong growth trajectory, with all regions contributing to a 9% currency and portfolio adjusted sales increase. In particular, the continued upgrade to Fox Xpro in Brazil as well as more favorable weather in North America and synergy effects from the combined product offering positively impacted sales. Our Environmental Science business also saw strong a growth across all regions, with an increase of 12% on a currency and portfolio adjusted basis. Our Vegetable Seeds business fell year-on-year by 4% as our business in North America saw COVID-related lower demand. While sales grew, Crop Science EBITDA before special items declined by 4% to EUR 4.5 billion. Positive cash -- cost management and synergy contributions were more than offset by massive negative currency effects of EUR 540 million. Let's now shift to Pharmaceuticals. Sales fell on a currency and portfolio adjusted basis by 2% to EUR 17.2 billion in 2020, mainly due to the impact of the COVID-19 pandemic on elective treatments, as outlined earlier. Furthermore, the second round of the volume-based procurement policy went into effect in April in China and significantly burdened the prices of our Avelox and Glucobay products throughout the year and led to a marked top line decline, only partially offset by volume gains. Our best-selling product, Xarelto, continued its strong growth trajectory and grew by 12% on a currency adjusted basis in 2020. Despite the top line shortfall and negative currency effects, our EBITDA before special items rose by 3% to EUR 6 billion, raising our margin by 230 basis points to roughly 35%, thanks to tight expense management, including some nonrecurring savings, and roughly EUR 150 million milestone income from Adempas. We are very excited about the progress of our late-stage pipeline. For Verquvo, we received FDA approval in January. Verquvo is the first approved soluble granulite cyclase stimulator for the treatment of symptomatic chronic heart failure. And finerenone, our treatment for patients with chronic kidney disease and type 2 diabetes, was granted FDA priority review in January. Furthermore, BlueRock Therapeutics, originally Leaps by Bayer investment, received clearance by the FDA to initiate a Phase I study in patients with advanced Parkinson's disease. With the acquisition of KaNDy Therapeutics, we have added a novel Phase III ready nonhormonal development candidate for menopause management to our women's health business. We also strengthened our technology and pipeline footprint through the acquisition of AskBio. Complementing BlueRock Therapeutics, we established a cell and gene therapy platform and some clinical assets designed to develop breakthrough innovative treatments for patients. To close out the divisional updates with Consumer Health, which showed a strong 5% sales growth across all regions in 2020 on a currency and portfolio adjusted basis. This was driven by a significant momentum in our Nutritionals business, which was up 23% from continued demand for preventive health solutions. At the same time, the weak flu season and the lower demand for our cough and cold products caused a 4% decline in our Allergy & Cold category, while our allergy products continued to grow. Our clean EBITDA margin increased 110 basis points to 22% in 2020, driven by accelerated growth and contributions from the efficiency programs. EBITDA before special items decreased by 3%. The very good underlying business performance is masked by roughly EUR 180 million negative currency and portfolio effects versus prior year. Before Wolfgang provides more details on 2020 and our financial guidance for 2021, I'll offer some closing perspectives. To set the stage for future growth, we will build on our strengths and focus on factors within our control, while navigating macro dynamics. In Crop Science, we're the market leader with industry-leading profitability and pipeline. We are actually cautiously optimistic about the emerging positive market environment as commodity prices for corn and soybeans have substantially improved since September, and if sustained, should impact our business positively. We'll discuss updates as we move through the coming quarters. In Pharma, we continue to focus on maximizing the value of our blockbuster, Xarelto and Eylea. And of course, we prepare for successful launches of Verquvo and finerenone and the further rollout of Nubeqa. Our Consumer Health business will further focus on sustainable, profitable, above-market growth, driven by our strong brand portfolio and the recent addition of Care/of. When I look at a broader perspective, beyond our own operations, it is clear that the pandemic is far from over. It will further impact markets and eventually our business. Against that backdrop, we are very happy that we can help in providing vaccines due to our cooperation with CureVac and the recent announcement that we'll take up vaccine manufacturing still in 2021. As far as our current perspective and guidance is concerned, we do expect a positive growth momentum across all our businesses. And with that, let me hand it over to Wolfgang.
Wolfgang Nickl: Thank you, Werner. Ladies and gentlemen, also a warm welcome from me. I will now walk you through some additional financial details for 2020, followed by our financial outlook for fiscal 2021. Group sales amounted to EUR 41.4 billion and EBITDA before special items came in at the prior year level of EUR 11.5 billion. It is important to note that foreign exchange effects had a substantial negative year-on-year impact on both sales, was EUR 1.9 billion, and EBITDA before special items was roughly EUR 740 million. Core earnings per share were roughly flat at EUR 6.39, with our core tax rate slightly up at 23.7% compared to 22.5% in 2019. Let me add here that the currency impact on our core EPS was EUR 0.53 in 2020. This means that at constant currencies, we would have landed at EUR 6.92, almost hitting our original guidance range of EUR 7 to EUR 7.20 despite the pandemic. Our free cash flow exceeded our adjusted guidance and reached EUR 1.3 billion in 2020, driven by a strong operational cash generation. This includes litigation-related settlement payouts of approximately EUR 3.8 billion. So operationally, we have beaten 2019 EUR 4.2 billion based on focused working capital and CapEx management. The bridge from our core EPS to reported EPS from continued and discontinued operation starts with the EUR 6.39 core EPS for continued operations I just mentioned. As usual, we first adjust for acquisition-related amortization. The impairment column on the chart was a negative impact of EUR 9.31 relates to noncash impairment charges of roughly EUR 9.2 billion in our Crop Science business. This number splits into roughly EUR 2.2 billion on goodwill and about EUR 7 billion on other intangible assets. EBITDA relevant special items had a negative impact of EUR 14.63 and are mostly tied to litigation and settlement charges. The special items in the financial results are largely related to the fair value of the Covestro and Elanco shares. As of today, we have sold all of our Covestro shares and we still hold about 10 million Elanco shares. Positive tax effect on the sum of these items contributed EUR 3.72. In addition, there is an impact from discontinued operations of EUR 5.17, primarily from the gain on the sale of our Animal Health division. However, it does not offset the negative impact of the special items and impairment charges, resulting in a loss per share from continued and discontinued operation of EUR 10.68. Let's move next to our balance sheet. Our net financial debt decreased year-over-year by roughly EUR 4 billion to about EUR 30 billion, which is significantly better than our guidance. The main driver behind the year-on-year net debt reduction were the better than expected free cash flow, the proceeds from the sale of our Animal Health business, and in this case, a positive currency effect. These effects more than offset dividend payments of roughly EUR 2.8 billion and cash outflows for acquisitions such as AskBio, KaNDy and Care/of. Finally, please note that roughly 45% of our financial debt is denominated in U.S. dollars. Currently, every percentage point depreciation of the U.S. dollar against the euro decreases our net financial debt by about EUR 130 million and vice versa. Next, let's look at the regional split of our businesses. It is important to remind you that only about 20% of our net sales are euro denominated, while roughly 40% of our costs are incurred in the Eurozone. Therefore, an appreciation of the euro is negatively impacting our profit margin, with limited natural hedges. Also, group sales by quarter and region vary significantly, especially driven by the characteristics of our Crop Science business, with different planting cycles in the northern and southern hemispheres. On the slide, you can see the significance of sales in Europe and North America in the first half of the year. Sales in Latin America, on the other hand, are significantly skewed to the second half of the year. As currency developments continue to influence our financial KPIs, let me outline our current assumptions on foreign exchange rates for 2021. As an example, let's look at the development of the U.S. dollar. While the average exchange rate stood at roughly $1.10 per euro during the first half of 2020, it stood at $1.23 per euro at the end of 2020, a depreciation of around 10%. Hence, the negative U.S. dollar development is expected to weigh heavily on the first half of 2021 if remains -- if rates remain at 2020 year-end exchange rates. The net impact of the strong appreciation of the euro on our net sales in 2020 and the estimated impact for 2021 are shown at the bottom of the slide. For 2021, we anticipate negative currency headwinds of about EUR 1 billion for the first quarter alone and EUR 2 billion for the entire fiscal year if currencies stay at the 2020 year-end exchange rates. Given that the majority of sales in our Crop business are made in the U.S. in the first half of the year, you can expect the currency headwinds to weigh particularly on our Crop division. As a reminder, in general, you can assume that a 1% change of the foreign currency basket versus the euro impacts our net sales by about EUR 350 million and clean EBITDA by about EUR 100 million. We will provide updates on our foreign exchange rate assumptions during our quarterly calls. With this in mind, I'd like to turn to our guidance for 2021, which assumes constant currencies or, in other words, average actual 2020 exchange rates. We expect Bayer Group sales to be in the range of EUR 42 billion to EUR 43 billion, an increase of around 3% on a currency and portfolio-adjusted basis. Our EBITDA margin before special items is anticipated to remain at the prior year level of approximately 27%. For core EPS, we confirm our prior outlook and see a slight decline versus 2020. Accordingly, we expect the core EPS in the range between EUR 6.10 and EUR 6.30, again at constant currencies. Free cash flow is expected in the range between minus EUR 3 billion and minus EUR 4 billion, including anticipated payouts for litigation settlements of approximately EUR 8 billion. Our net financial debt is forecasted to increase to between EUR 36 billion and EUR 37 billion, largely due to settlement payouts and around EUR 2 billion for dividend payments. In the gray column, we provide the currency impact for the fiscal year 2021 if currencies would stay at 2020 year-end exchange rates. That would translate into a negative currency impact of approximately EUR 2 billion on our sales figure, as also illustrated on the prior chart. Our EBITDA margin before special items would be negatively impacted by around 70 basis points, while our core earnings per share would be approximately EUR 0.50 lower at year-end exchange rates. A U.S. dollar at year-end exchange rates would lead to a positive effect of approximately EUR 1 billion on our net financial debt in 2021. Our guidance reflects our current business and does not include any impacts of the planned sale of our professional Environmental Sciences businesses. With regards to our divisional guidance. We now expect the currency and portfolio-adjusted growth of Crop Science to be around 2% at an adjusted EBITDA margin of around 24% at constant currencies. Growth is expected to come primarily from fungicides, herbicides, corn and cotton, partially offset by continued competitive dynamics in soybeans. For Pharmaceuticals, we expect 4% cpa growth and a margin of around 32%, through continued growth of Xarelto and Eylea and the assumed easing of COVID-19 restrictions. Finally, we expect Consumer Health to come in at around 2% to 3% cpa growth at a net -- at a margin between 22% and 23%, driven by continued growth momentum for Nutritionals, while demand for cough and cold is expected to soften. Please note that we have listed other major KPIs in the appendix of our investor presentation. And with that, I will hand it back over to you, Oliver, to start the Q&A.
O. Maier: Great. Thank you, Wolfgang. Thanks, Werner, for the overview. [Operator Instructions] And with that, Haley, you may open up the lines for questions.
Operator: [Operator Instructions] The first question comes from Mr. Verdult.
Peter Verdult: Pete Verdult, Citi. Two questions as requested. I think the obvious one that everyone wants to -- has been asking this morning, maybe for Liam, is in light of the recent crop dynamics, why there's only 2% growth guidance for crop in 2020? Is that -- in 2021? Is that conservatism? Or are we missing something? So that's question number one. And then on Pharma, just any willingness to provide the 2020 product sales for your recent launches? And can you remind us how you're thinking about Xarelto in China in terms of VBP pressures? Has there anything been built into your assumptions? Or is that something that's more likely to come next year?
Liam Condon: Yes. Thanks a lot, Pete. Let me answer the first question on crop, which I do think is top of mind for everybody. So I would basically view our outlook for the year as cautiously optimistic. And I say cautious because it's still so early in the year. And if we look at where -- what tailwinds we have this year, clearly, we're expecting an increase in acreage in the U.S., probably between 180 million, 182 million acres for soybeans and cotton, clearly more skewed towards -- sorry, for soybeans and corn, clearly more skewed towards soybeans. What we can expect is an improvement in Brazil from a pricing recovery point of view, so an improvement over the FX devaluation that we've seen, which we'll be catching up then in pricing. And we could expect probably better crop protection usage. Given where commodity prices are, farmers will want to protect their crops. So that's all really good. Where we have headwinds is, clearly, again, ForEx, particularly this year with the dollar, for a company like us, which was already mentioned by Wolfgang. It's still very early with COVID-19. We don't know how the year is going to play out. So we don't want to call anything too early here. And we got to remember what's driving growth right now in the market is it's basically the increased demand out of China, which is a result of the African swine fever. Basically, it was the hog herd in China basically now having been eliminated and relatively increased soybean demand, and to a degree, corn demand. Plus, a professionalization of hog herd management in China. Now there is a potential. We're reading anecdotal reports of a new outbreak of African swine fever in China. Right now, we think this is pretty much under control from everything we've heard under the ground, but we just don't really know yet. So we think it's too early to somehow call this as going to be a bumper year. But what we can see is, going forward, if the commodity prices stay where they are right now, clearly, we should have a much stronger outlook going forward. I think specifically for Crop, one thing to bear in mind is particularly in the first half of the year, we do have some onetime effects. You recall that we have a transitional sales agreement with BASF. This on a year-on-year basis will cost us about EUR 100 million. We also have a onetime -- an older corn license which runs out. And we had a regulatory loss of thiacloprid and neonic in Europe last year. The sum of those 2 elements will cost us about EUR 150 million, EUR 200 million. So that's about EUR 300 million, EUR 250 million, EUR 300 million is about 1.5 percentage points of growth, which we basically need to take on the chin, and that's already absorbed in the 2% growth that we are guiding for. So I hope that helps put things a little bit more into perspective. Personally, I think the bigger impact of the strong commodity prices, if they continue, will be seen primarily in '22 because we can reprice seed then in August of this year. And of course, Brazilian pricing recovery will continue. And we'll all benefit from a full season as opposed to this year, where seed pricing was already done last August where commodity prices were particularly low.
Stefan Oelrich: Pete, Stefan here. So your question on the disclosure on the sales of our launch products by region. Typically, we don't do that, especially not when they're really below the threshold of being one of our significant products. I guess you're referring to our 3 launches, which are Nubeqa, finerenone and Verquvo, which are all starting to really, again, seen, especially Nubeqa. What I can tell you is that the sales split between Europe and North America is right now about 90% to 10%. That's about the split, which is normal because we are only getting some sales out of Germany for the time being in Europe. So stay tuned. As we go through the year, and I hope that at some point, I can disclose Nubeqa as an important product so that you get those sales. When it comes to Verquvo, very little sales so far because we just started this month, but we now have sales in the United States for Verquvo, which is our launch country. And finerenone, we expect to start in the second half of the year. Your question on Xarelto China. So the overall guidance that we've given on Xarelto does reflect some of the risk that we're seeing in China, notably a price risk that can happen given that we've lost our exclusivity and there are currently 9 generics that have been approved. And we have sources that would report that pricing for the 10-milligram Xarelto generic would be around 80% of our current pricing. So far, limited uptake from generics in the market to be seen. At the same time, you have seen that we've not been included in the wave 4 of the volume-based procurement in China, which avoids that a tender process for us in the first half of the year. We'll have to see if we can -- if what happens in the second round later this year where we're still at risk to be included, but that pretty much is the situation for Xarelto in China.
Peter Verdult: But it sounds to me that you're being prudent with your guidance and assumed, should we say, a conservative assumption. Is that fair to say?
Stefan Oelrich: Yes. I think -- we think we can make those numbers in China. Yes, that is fair to say.
Operator: The next question comes from Mr. Andrews.
Vincent Andrews: Vincent Andrews from Morgan Stanley. Liam, I just wanted to follow-up maybe particularly on soy. I believe the characterization was increased soybean competition. So I just wanted to unpack that a little bit just given soy acres are going to be up, soy prices are up a lot. But it also sounds like, for whatever reason, competition is up despite that better backdrop. So is that a function of just, in the fourth quarter, you didn't have all the state registrations so you couldn't properly market extend and people are looking to take advantage of that temporary vulnerability? Or is there something else going on, like you're just not anticipating to participate in the increase in soybean acres? So let me just start there.
Liam Condon: Thanks a lot, Vincent, for the question. So on soybeans, I think it's always -- like for all raw crops in the U.S., what's really important is the season goes from Q4 until Q3, so Q4 now '20 until Q3 '21. And we had the situation for our portfolio that basically we lost, as you recall, due to an NGO challenge, we lost the registration on XtendiMax which is a key component of our soybean system. And of course, farmers are highly interested. If they're buying a system, they want to know that all the components of the system are going to be available. And we did -- I think the regulatory team did a great job in getting a new registration, a 5-year registration, which was even better than the old one. But we didn't get this on -- at the federal level until end of October. And then we had to go through on a state-by-state level and get every single state registration, which took about 2, 3 months. So we were finally done in early January. And given where soybean prices were, of course, a lot of farmers wanted -- they want to get their preseason orders in and they wanted to be 100% sure that product was available. And so there, we simply weren't able to compete on the same level as a competitor that had all registrations in place. So we simply had a late start to the season because of the regulatory situation. And now we have everything in our pipeline that we need. So we have XtendiMax and VaporGrip with a 5-year registration. We got the approval of XtendFlex, which we expect to be on at least 15 million acres this year. And we can run with that now for the rest of the season. But reality is we've lost the first quarter of the selling season, and that's going to impact their sales. So that's the competitive dynamic. But going forward then for the next season, we're in from the get-go. We have a full portfolio. We'll be highly competitive, we think with our XtendFlex beans, we're seeing a 4-bushel per acre improvement. And of course then, we've got the added herbicide flexibility. So we think we'll be highly competitive, but we will -- we've simply got to acknowledge that we lost out from the first quarter of the market season, and that will impact our performance in soybeans this year.
Vincent Andrews: Okay. And as a follow-up, can I just ask you, what are you seeing in terms of seed production cost this year? Is that a headwind to your profit guidance? And likewise, what, if any, concerns do you have about raw material costs in crop protection, just given we're seeing a higher -- kind of seeing reflation across the commodity complex, whether it's crude oil or derivatives or what have you? How do you feel about that for this year?
Liam Condon: Yes. So seeds' COGS right now -- I mean we hedge our seed production. So seeds' COGS, we don't see any material headwinds right now. Nothing has been flagged. So I think we're in pretty good shape there. On crop protection, clearly, from a raw material point of view, there is an increase in costs. And this is actually primarily related to logistics, which is, of course, containers, airplanes. And the market is extremely tight here. We haven't had any logistical issues to date. But we simply have to pay more from a logistics point of view. And of course, we do our best within the, let's say, the ongoing organization through efficiency measures to somehow compensate for that. So I wouldn't call it out as a material headwind for this year. We would expect to compensate that through our efficiency measures. But clearly, there is a cost increase due to the tightness of logistics.
Operator: The next question comes from Mr. Lunn.
Werner Baumann: From Jo Walton.
Jo Walton: Jo Walton from Credit Suisse. My question is, one on Pharma and one on Crop. So on the Pharma side, I wonder if you could help us on the margin. So last year or in 2020, you got -- had a margin of almost 35%. It's going down to 32% this year even if we take off the EUR 150 million onetime Adempas, that's less than 1% of that. So could you tell us a little bit more about perhaps the magnitude of these launch investments that you require, whether you will be -- or whether you have a view that you're going to have to lose some of the cost savings that you've made out of COVID? So just help us on the costs for that. And then looking at the Crop side of things, just a little bit more forward looking. You say that you've lost out to your competitor because of the -- your restrictions. Do you think that farmers, once they've tried that system and the associated genetics that they're able to buy with that, how easy will it be to actually get those farmers back to you? So I'm just trying to get a sense of how that competitive loss, how easy it will be to swing it back again next year.
Stefan Oelrich: Jo, so thanks for the question. First, let me start by saying that we continued to have the tight expense control in place also throughout 2021 that we had throughout 2020. And we really need that because we want to give you a reasonable margin or a good margin while we're investing into a lot into growth. Your question is the right one. How much of that goes into the launches? It's a significant investment given that we're launching 3 products at the same time with Verquvo, with the -- with Nubeqa and with finerenone, and 2 of them in the North American market where we didn't have a footprint in cardiorenal. So there is a significant expense attached to that, which is actually greater than the 200 basis points that you make reference to. The rest being covered by the milestone payment for Adempas, which is also equates to 100 basis points. So we have these launch efforts. Then we have some of the ongoing business as we expect to be customer-facing -- or resuming our customer-facing activities around the world beyond China, where we're currently still pretty much at normal. And all of that together comes to the margin. This is something that also throughout all of last year, we had announced to you. Also please be mindful of the fact that we have the VBP effect that only started in the second quarter last year now throughout the entire year. So again, message is we're investing into growth, 3 launches at the same time and we have very strict and tight expense controls in place.
Liam Condon: So thanks, Jo, for the question, and I'll take it on -- related to soybean competition because I think that's the area that you were focusing on. I think it's first probably important to point out with all the talk about market share. So last year, we still had the market-leading soybean system. And this year, our clear expectation is that we will still be the market leader. So just to set that straight upfront. We are also that have the premium price because we price according to value, and we believe we deliver more or better yield than anybody else out there. As indicated, we will lose some share simply because of the fact that we've lost the preseason already this year. Going into the new year or the next market season, which will start in Q4 '20, then we're fully competitive. And again, with the portfolio that we have, XtendiMax with VaporGrip and XtendFlex, I think we're in a great position then. We'll have stabilized that entire market. And I would expect then that we can get back to growth. What's also important from a soybean point of view is, of course, the U.S. is extremely important for us, but also Brazil is very, very important. And with Intacta 2, we run over 85 million acres in Latin America. And we're launching now this year Intacta 2 Xtend, so the next generation of soybean, basically soybean system in Brazil. So we also have great expectations for this. And I take -- I think if you take the 2 together, the XtendFlex in the U.S., Intacta 2 Xtend coming in Brazil, this is a great starting point. And then later on, we'll talk more about that at Capital Markets Day, we have the next generation system, HT4, which offers then 5 herbicides. So I think we're in very good shape from a portfolio point of view.
Operator: The next question comes from Mr. Vosser.
Richard Vosser: Richard Vosser from JPMorgan. First question, just on Consumer Health. Just thinking about the pressures from COVID and how we should think about that developing through the year, what you factored in there a bit more detail in terms of the pressures on the cough and cold business in the back half of '21, still a weaker season expected. Is that how you're thinking about it? And then second question, just on the asset sales. Clearly, yesterday, you called out the Environmental Science assets. So how should we think about the level of sales throughout the rest of '21 and the impact on the numbers?
Heiko Schipper: Yes, Richard. Let me start on the Consumer Health question. So yes, you're right, there's a little volatility in the market. If we first just reflect on 2020, you've seen our numbers that much of our growth was driven by the very good development in our Nutritionals business, while on the other hand, indeed, quite a significant drop in cough and cold. However, overall, we came in quite well, in fact, ahead of the market on growth. If you then think about 2021 and we look back at 2020, first, we see that in the first half of 2020, people were actually stocking up on cough and cold products. So we're going to have a difficult comp in the first half because -- particularly in March, there is this large sort of stocking up that happened in '20 that we're going to cycle over on top of already a very low demand because there is very little flu. So I expect H1, the overall market to be quite challenging. Nutritionals will continue to be good, although -- also there, we're also going to cycle over higher numbers. And then in the second half, I do expect actually that there will be some growth returning also on cough and cold because I do expect that there will be more sort of movement, again, thanks to the vaccines and particularly in some parts of the world. So I would say first half, challenging market environment. We saw it already in Q4 also from some of our peers. Second half will be better. And overall the year, you've seen our guidance. We guided between 2% to 3%. And we think the market is probably going to be slightly below that. So we're aiming to continue to perform ahead of the markets.
Werner Baumann: Yes, Richard. Let me ask your second question on the ES professional business. It's actually a unit that is comprised of the professional and the consumer business. So it's not 1 unit that is being sold. The total sales that are going to be affected by the divestiture is about EUR 600 million. And in terms of reporting, we will assess over the next months to come as to when we are going to report it as discontinued. For the time being, you should assume that it is in our full year guidance because it's been part of the continuing business so far. So the entire ES professional business is included in our guidance.
Operator: The next question comes from Mr. Jackson.
Joel Jackson: Joel Jackson, BMO Capital Markets. So a couple of questions. I'll do them one at a time. Just coming back to XtendFlex and the soybean competition. Can you give an update on what kind of premium you're getting on XtendFlex versus Xtend? And if we think of potentially -- are you losing some share here in soybeans in '21? It seems like you were guiding 20 million acre of XtendFlex. Now you're saying 15 million. So is that where you're seeing some of the share losses, like you're holding up in Xtend and other products, but it's really XtendFlex where you got less than you thought?
Liam Condon: Yes. Thanks a lot, Joel. So on XtendFlex, we have a pricing premium, so a small pricing premium over Xtend. I think we've got to remember that the pricing cards were done in August and is typical in season. And August was again a low point. I think soybeans was about 3, it was -- it would have been about EUR 8 or EUR 9 at the time -- sorry, dollars. And now we're at $14 plus. So clearly, if we were pricing today, these would be different pricing cards. But at that point in time, where it's also a highly intense market situation, we had a small premium for XtendFlex. So the next opportunity for repricing is, of course, then later this year in August when we go into the next season. For XtendFlex acres, the 20 million that referred to, that's actually the production capacity that we have for XtendFlex. Based on orders where we are now, we would assume to be on at least 15 million acres. And it's all going to be about the balance between how much is XtendFlex and how much is Xtend. But we have a pretty robust order book now. And we can't tell exactly what that ratio is going to be, but it should be at least 15 million acres of XtendFlex.
Joel Jackson: And just maybe something that comes up more on the Investor Day in a couple of weeks. But I mean, as you continue to move to reduce some of the uncertainty around glyphosate, at what point would it make sense to look at it as value creation can come from splitting off Crop Science from the other businesses?
Werner Baumann: If you asked, at which time there would be value creation by the spinning off of Crop Science, did I understand that question correctly?
Joel Jackson: Yes.
Werner Baumann: Okay. Thank you. We have a strategy that is communicated, that is a strategy of a 3-prong approach towards our businesses. And our portfolio consists of our Pharma business, our Consumer business and our Crop business. And there's no consideration of divesting of any of those businesses. What we've said is that we are looking at divestitures below the divisional level, which we have done and will continue to do actually as part of our September 2020 communication. And then most recently, as of yesterday, the communication to divest of the ES professional business. Yes, and there may be more to come, but it's going to be below the divisional level.
Operator: Next question comes from Keyur Parekh.
Keyur Parekh: Two, please, one on Crop and then one kind of on the broad business. On Crop, Liam, specifically, you're guiding to 2% growth. I'm wondering if you're able to split that between your assumption for volume growth versus kind of pricing versus any specific impact you might have kind of from a hedging perspective. And then just to add to that, kind of how would you categorize the inventory levels kind of for your crop protection business as you get into this season, both U.S. and Brazil? That's kind of question number one. And then separately, one that I noted in the annual report released this morning that there were 3 kind of extraordinary Board meetings of the Supervisory Board towards the end of last year. I was wondering if you're able to add any incremental color. It's not very often we see 3 kind of extraordinary meetings at a Supervisory Board level in a relatively short period. So what might those have been related to?
Liam Condon: Yes. Thanks a lot, Keyur. So let me start with the Crop Science of the 2%, and I'll just say a high level here, this will be -- what's in the current assumptions is primarily volume-based growth. Of course, we would hope with commodity price environment that this -- that we will also have a positive pricing environment. However, as mentioned earlier, we don't really see that in the seeds business in the first half of the year because the pricing was already done last August. And crop protection, it's going to be about at what level of premium products will farmers go to, to protect their harvests, and that will depend also on where they see future commodity prices going. So right now, it's primarily volume, less price growth, and hopefully, with upside potential there on pricing if commodity prices stay strong. On inventory levels, we're not -- I think the only place where we're seeing anything that's out of, let's say, not necessarily showing a green traffic light is probably Brazil, simply due to the delay in the harvesting season. And with that for soybeans due to weather conditions, particularly in Mato Grosso. And also with that, then of course, a concurrent delay in planting for the safrinha corn season. And that just means there's a bit of a, what I would call, a phasing-related then inventory issue. We track this very, very closely. We feel globally and also in Brazil are completely okay where we are. But I'd say, Brazil, just given the delay in the season, that's the only one where we're watching it very, very closely. I'd be pretty confident that once the seeds -- once things pick up in Mato Grosso that, that inventory will all be eliminated. But that's the only one I'd highlight.
Werner Baumann: Yes. Then let me follow-on the question on the Supervisory Board meetings. There's actually in the Chairman's report in the annual report, you have all of them itemized, yes? So you can look at each and every one. And towards the end of the year, there was quite a bit of activity with 2 things. Number one is, of course, your business, how business is going. Secondly, AskBio was a subject matter of an extraordinary meeting. And then, of course, as always, towards the end of the year, the -- we talk about the plan for 2021 or the following year. But beyond that, we also discussed the strategy as we had, is somewhat different process in 2020 due to the high volatility of 2020 being a base year, that would inform our midterm planning, yes? So that's what's behind that meeting sequence. And on top of that, as you will appreciate, the year was very, very busy and very volatile, which is also reflected in a substantially higher number of Board meetings compared to the 4 regular ones that we would normally have.
Operator: The next question comes from Mr. Leuchten.
Michael Leuchten: This is Michael Leuchten from UBS. Liam, just -- sorry, going back to you, just a clarification. So you made it very clear, your pricing assumptions for the year, I get that. Is rebating something that could be a meaningful variable, that could matter in 2021 as you're unable to reprice your franchises? And then a question on your margin composition. So as your portfolio is a little bit more skewed to corn than soy this year, is the flat margin that you're guiding to purely a function of the TSA and the corn royalties going away and FX? Or is there something else we should take into consideration as we think about the moving parts for your margin? And then a quick question, on the Pharma margin. Is the CureVac agreement meaningful for the margin in 2021 and as we think about trajectory into 2022?
Liam Condon: Yes. Thanks, Michael. So on pricing, from a rebating point of view given the overall buoyant mood in the industry, I don't think there's any need for any kind of excessive rebating this year in the industry. So again, we are always at a premium price. We usually set the standard in the market from a premium price point of view, just given the quality of the products that we have. And we pay an awful lot of attention about from the gross to net. So we'll be working hard to make sure that we have a positive overall net pricing impact this year regardless of what's happening from a rebate point of view. On the margin side, of course, beyond the very, very significant FX impact, which Wolfgang outlined, particularly hits us hard given the U.S. exposure, particularly in the first half of the year with where the U.S. dollar rates are now versus the first half of last year. Beyond that, you rightly point to the 2 of the issues I mentioned -- or 3, that corn royalties, which is basically one to one bottom line. Thiacloprid, the regulatory elimination of thiacloprid in Europe. This is a very high margin product. And then those BSF sales that are missing. Plus, same as for all of the divisions within Bayer. Of course, all of the savings that we had, extraordinary savings that we had last year are not one to one, can't be just kept this year. So we had a lot of extraordinary COVID contingency measures, like basically no travel. And at some stage this year, we're going to get back to a more normal pattern of business. So we'll automatically have some increased cost. Of course, we've got some inflation. And of course, given that the overall performance last year, incentivization payouts were going to be relatively low for 2020. We would expect them to normalize in '21. So these are all things that we need to balance out through our synergies and efficiencies, but they help explain in total why the margin doesn't improve further.
Stefan Oelrich: So on CureVac, let me first say how excited we are about the active role that we're playing to hopefully contributing very actively to ending this pandemic. This transaction that we have with CureVac is not really primarily about financial considerations, but much more about getting the CureVac vaccine available for patients as quickly as possible throughout the world. That's why, at this point, please understand that we do not provide financial details about this collaboration.
Operator: The next question comes from Mr. Zechmann.
Gunther Zechmann: Gunther Zechmann from Bernstein here. One question for Liam, please, on digital agriculture. Can you just talk about the value proposition you have in light of the recent increase in soft commodity prices, whether you have similar price decks being rolled out as in the crop input part of the business, and also share any acreage targets that you might have rolled forward for the coming years, please?
Liam Condon: Yes. Thanks, Gunther. So on acreage, maybe to start with, we had a very strong increase in penetration last year. So we actually -- we're on now 150 million acres in 23 different countries. Of course, biggest country by far is the U.S., second is Brazil, which is kind of reflective of our business. But we think this has been a fantastic progress, and it's been externally validated that by far, the deepest market penetration in digital ag. And this is also our goal, to continue to accelerate that. We're not giving right now a specific additional, a new target out. But we will be increasing, where our plan is to increase this acreage penetration significantly going forward. For us, the whole business model is, of course, about enabling our seeds and traits and crop protection business on the one side. So this simply allows us to make much more precise recommendations to growers that they can increase their yield and also farm in a more sustainable manner, manage their costs better. This will benefit our business, but we also see a great opportunity from -- as an enabler of new business models. And here, I think the best example is our carbon farming initiative where we are incentivizing farmers to sequester carbon into soil. And here, a digital platform is actually an essential part of the overall business model to track and verify and ultimately also link farmers to payments going forward. And so I think there's a lot of promise in here. We'll probably talk a little bit more about this at CMD, but this is a really exciting part of the portfolio.
Gunther Zechmann: And can I just follow-up on the acreage and the pricing? Did you say 150 million acres? And is that paid acres, please?
Liam Condon: Correct. It's -- yes. That's 150 million subscribed acres. So we have a subscription model. And we also have a -- or we have a paid acre model but we also have a subscription model. And what we did last year was we combined our incentivization program in the U.S., our Bayer PLUS incentivization program with a subscription also for FieldView. And that led to a significant increase also in penetration in the U.S. And this helped us improve our market share in crop protection, particularly in the U.S. last year. So this is a mix of paid and subscribed acres.
Operator: The next question comes from Mr. Quigley.
James Quigley: James Quigley from Morgan Stanley. I've got two, please. So first of all, for Nubeqa, you just started the ARANOTE trial. So what is the sort of the rationale for starting this trial? Obviously, we had ARASENS, where you didn't start the ARANOTE trial at the same time as the ARASENS. So how should we read this? Is this decrease in confidence in the potential for ARASENS or increasing confidence for Nubeqa and its ability to compete more generally? And then secondly, would you be able to give us an idea of the extent of the COVID-related cost savings or cost avoidance that you had in 2020, either at a group level or at the divisions, just so we have a little bit of visibility on that, please?
Stefan Oelrich: Sorry. I think I need to start with my answer again because I was on -- so let me start again, James. So first, on ARASENS -- I hope I can redo my answer. So on ARASENS, maybe to get started, we expect the primary completion in this event-driven trial in June of this year. So headline data should become available in the second half of the year. Just as a reminder, this was a trial that was looking at Nubeqa together with androgen depletion therapy and chemotherapy, in this case with docetaxel in the metastatic setting. And so why ARANOTE? ARANOTE, we're looking at darolutamide plus androgen deprivation therapy in comparison to placebo plus ADT in men with metastatic hormone-sensitive prostate cancer. Other than ARASENS, this setting is without chemo. We recognize that patients and physicians have different needs and preferences for treating patients throughout the different stages of the disease. And therefore, we think it makes perfect sense to explore the use of darolutamide plus ADT versus ADT alone to have multiple treatment options available for men with metastatic castrate-resistant prostate cancer. So we think this makes perfect sense within the life cycle of the product. And if we want to have by end of year or next year, report out the numbers, we need to get good data for the product, and we're very confident in Nubeqa. So we're adding to it.
Wolfgang Nickl: And James, and let me give you a little flavor on where the puts and takes are for the company. We won't have a complete leg of the savings. That would be too big of a deal. But I give you 2 big categories, and Liam kind of already hinted towards it. Travel and events, if you look at 2019, that's about a EUR 600 million to EUR 700 million ticket for the total company. I won't break it out by division, but I think you'll get the flavor. And we were at about half, last year. So there was almost no change, of course, in the first quarter. But then, of course, the following 9 months were heavily impacted. We have in our guidance modeled in a reassumption of traveling in the second half of the year. We'll see how that works out. The second category of variable compensation plans, we have indicated before that it was up to EUR 500 million. It was somewhat below that, that we just didn't have the entitlement for. And again, we assume that that's not recurring because we have set a plan where people can earn the entitlements. And then on many, many, many occasions, we were just pushing out projects and the like into the future. And there were savings there as well, somewhat offset also by cost increases. For instance, freight costs went up across the board. We increased our donation level, for instance. But the 2 major elements are travel and events as well as variable compensation.
Operator: The next question comes from Mr. Jones.
Tony Jones: Tony Jones, Redburn. I've just got one left. I think for Wolfgang, actually, back on compensation. For the STI payments, there's some really good detail in the annual report on what happened in '20. But are you able to say what the EPS and free cash flow target corridor ranges are for 2021?
Wolfgang Nickl: I don't think we disclose these upfront, but you should assume that they're very closely tied to our plans that we communicate to the market.
Operator: And the final question comes from Mr. Friedrichs.
Falko Friedrichs: It's Falko Friedrichs from Deutsche Bank. One quick question. It's related to the CureVac deal. And is this mRNA space something you want to further explore and grow beyond the pandemic, or is this just a focus now when it comes to the COVID vaccine?
Stefan Oelrich: So thank you, Falko, for this really important question because I think mRNA needs to be seen in the context of our overall cell and gene strategy. So you have seen us make a very decisive move into this area with the acquisition of AskBio and previously BlueRock and some of the deal flow that we created last year. So we see mRNA as a promising technology that could be also synergistic, partially to some of the activities that we have, going beyond just vaccination against viral infections. But that's a little bit too early to talk about here. But we think this is a very promising technology, yes.
O. Maier: Okay. I think that was the last question, so I think -- thank you very much for participating today. Thank you very much for taking the time, and we talk to you soon. Stay safe, everybody. Thank you.
Operator: Ladies and gentlemen, this concludes the full year and fourth quarter 2020 investor and analyst conference call of Bayer AG. Thank you for participating. You may now disconnect.